Operator: [Abrupt start] may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management’s current expectations, and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control, that may cause the company’s actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time to time in its filings with the SEC, including in the company’s annual report on Form 10-K filed with the SEC of section of March 6, 2020. Furthermore, as we start this call, please also refer to the statement regarding forward-looking statements incorporated in the company’s press release issued this morning, and please note that the contents of the company’s conference call this morning is covered by those statements. During this conference call, management will make reference to EBITDA, which is a non-GAAP financial measure. A reconciliation of non-GAAP measure to the applicable GAAP measure can be found in the company’s current earnings release, a copy of which is located on the company’s website, which is www.dawson3d.com. The call is scheduled for 30 minutes, and the company will not provide any guidance. I would now like to turn the call over to Stephen Jumper, Chairman, President and CEO of Dawson Geophysical Company.
Steve Jumper: Thank you, John. Good morning, and welcome to Dawson Geophysical Company’s First Quarter 2020 Earnings and Operations Call. As John said, my name is Steve Jumper, Chairman, President and CEO of the company. Joining me on the call is Jim Brata, Executive Vice President and Chief Financial Officer. Before we get too far along, I want to cover a few items. If you’d like to listen to a replay of today’s call, it will be available via webcast by going to the Investor Relations section of the company’s website at www.dawson3d.com. Information reported on this call speaks only of today, Thursday, May 7, 2020. And therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening. Turning to our preliminary first quarter financial results. For the quarter ended March 31, 2020, the company reported revenues of $39 million compared to $51.2 million for the quarter ended March 31, 2019. For the first quarter of 2020, the company reported net income of $993,000 or $0.04 per common share compared to a net loss of $137,000 or $0.01 loss per common share for the first quarter of 2019. The company reported EBITDA of $5.8 million for the quarter ended March 31, 2020 compared to EBITDA of $6 million for the quarter ended March 31, 2019. During the first quarter of 2020, the company operated three large channel count crews in the United States, primarily in the Permian Basin and a peak of three crews in Canada with varying utilization rates of the active crews during the quarter compared to a peak of five total crews, two of which were larger channel count in the US and a peak of four crews in Canada in the first quarter of 2019. The winter season in Canada concluded at the end of the first quarter of 2020 with limited seismic activities anticipated until the next winter season. Equipment station in Canada will be redeployed to the US to service the company’s clients as needed. As in recent quarters, the majority of the company’s projects are on behalf of multi-client companies in the US. I will now turn control of the call over to Jim Brata, who will review the financial results. Then I will return for some final remarks and our outlook into the second early part of third quarter of 2020. Jim?
Jim Brata: Thank you, Steve, and good morning. Revenues for the first quarter of 2020 were $39 million compared to $51.2 million for the quarter ended March 31, 2019. As stated in our earnings release issued this morning, during the first quarter of 2020, the company operated three large channel count crews in the US, primarily in the Permian Basin and a peak of three crews in Canada with varying utilization rates of the active crews during the quarter compared to a peak of five total crews, two of which were large channel count crews in the US and a peak of four crews in Canada in the first quarter of 2019. The winter season in Canada concluded at the end of the first quarter of 2020 with limited seismic activities anticipated until the next winter season. The equipment station in Canada will be redeployed to the US to service the company’s clients as needed. As in recent quarters, the majority of the company’s projects are on behalf of multi-client companies in the US. Cost of services in the first quarter of 2020 were $29 million, a decrease of 29% compared to $40.9 million in the same quarter of 2019. General and administrative expenses were $3.7 million in the first quarter of 2020, a decrease of 19% compared to $4.5 million in the first quarter of 2019. Depreciation and amortization expense in the first quarter of 2020 was $4.9 million, a decrease of 19% compared to $6.1 million in the same quarter of 2019. Net income for the first quarter of 2020 was $993,000 or $0.04 per share compared to a net loss of $137,000 or $0.01 loss per share in the first quarter of 2019. EBITDA in the first quarter of 2020 was $5.8 million compared to EBITDA of $6 million in the same quarter of 2019. An EBITDA reconciliation was provided in our earnings release issued this morning. And now I’ll highlight some balance sheet items. Our balance sheet continues to remain strong. As of March 31, 2020, we had debt including obligations under financing leases of approximately $3.1 million, cash and short-term investments of $30.2 million. Our current ratio was 3.3 to 1 and working capital was approximately $50.7 million. And with that, I’ll turn the call back to Steve for some comments on our operations.
Steve Jumper: Well, thank you, Jim. While the company reported a decrease in revenue for the three months ended March 31, 2020, we reported net income of $993,000 compared to a net loss of $137,000 for the quarter ended March 31, 2019. Gross margin for the quarter ended March 31 improved 5.5% to 25.6% as a result of improved crew efficiencies, increased utilization of reporting channels, energy sources as well as continuing success with our cost control initiative. Capital expenditures for the quarter of 2020 totaled $2.3 million, primarily for maintenance capital items and purchases of additional recording channels as opposed to leasing such channels on less favorable terms. The company’s Board of Directors has approved an initial capital budget of $5 million for 2020. Capital expenditure for the balance of the year are anticipated to be for maintenance requirements only. As Jim said, the company’s balance sheet remains strong with $30.2 million of cash, restricted cash and short-term investments and $50.7 million of working capital as of March 31, 2020. The company had notes payable and finance leases of $3.1 million as of March 31, 2020. First quarter results were favorably impacted by the continued operation of three large channel count crews in the United States and a better than anticipated Canadian season. While we are pleased with our first quarter results, there have been numerous changes to the oil and gas industry and the overall market since we reported December 31, 2019 results in late February. The combination of the dissolution of OPEC oil production quotas, primarily by Saudi Arabia and Russia in early March and the economic impact and resulting reductions in demand for oil caused by the COVID-19 pandemic, resulted in an oversupply of oil worldwide, which caused oil prices to plummet from approximately $52 per barrel on February 1, 2020, to well below $15 per barrel in March. Oil futures went negative for a brief period in April. The drop in oil prices, despite the subsequent agreement between Saudi Arabia and Russia to withhold approximately 9.7 million barrels of oil from the world markets has forced exploration companies to cut capital budgets ranging from 30% to 50%, resulting in rapid reductions in the number of wells being drilled and completed. As in prior periods of capital expenditure reductions by our clients, demand for our services has declined accordingly. Since the onset of these unforeseen circumstances, we experienced a reduction in requests for proposals, and several large projects have been postponed. We continue to maintain close communication with our client base, who are experiencing the same level of uncertainty as our company. Based on current, but rapidly changing information, we anticipate continued operation of the two large channel count crews through the second quarter and into the third quarter of 2020. The second quarter will be somewhat negatively impacted as we redeploy a third smaller channel count crew on a previously completed project, which experienced limited data dropout from an undetected operational issue. In the current market environment, our visibility beyond the early part of the third quarter is limited. In response to this uncertainty, we reduced our non-field level support staff in April, which after severance costs of $1.4 million in the second quarter ultimately should result in annual savings of approximately $4.3 million. In addition, we reduced the base salaries of each of our senior executives by approximately 20% effective March 30, 2020 until February 11, 2023, unless otherwise determined by the Board. And many other employees have taken temporary salary deductions at varying levels which we currently expect should result in an annual savings of approximately $0.9 million. In response to the COVID-19 pandemic and its impact on our people, we instituted recommended CDC guidelines in early March, including but not limited to, social distancing, hygiene recommendations, small group limits, enhanced work from home guidelines, minimized office hours and weekly town hall telephone conferences to update employees and their families on the company’s practices and protocols. We continue to observe applicable shelter-in-place directives and now that we are seeing certain areas in Texas and other locations begin to open up, we are reopening business locations, provided that proper CDC guidelines are rigorously followed. We continue to provide additional flexibility to work from home for those with pre-existing health conditions, child care issues, elderly in-home residents or other general concerns. At the crew level, we have implemented policies to eliminate large group gathering, provide additional vehicles to reduce the number of people in a single vehicle traveling to and from project locations, increased utilization of radio communication, secured ample safe daily water supply, offered increased housing flexibility, and relaxed field schedules to allow for individual needs. Most of our day-to-day operations consist of small, often times individual, isolated work groups. While we face difficult challenges, perhaps some of the most difficult the oil and gas industry has ever faced, we are confident that the steps we’ve taken, both today and throughout the year such as our commitment to a strong balance sheet, a scalable business structure that allows us to quickly adjust our operations and expenses up or down depending on market conditions and an unremitting commitment to our employees, clients and shareholders, favorably positions us during these challenging times. Although there are significant near term headwinds, we continue to believe that over the long-term, seismic data will continue to add value to exploration and production companies’ drilling and development program by helping identify optimum well locations. I would personally like to thank all of our hard working employees, our valued clients and our shareholders for their continued commitment and support during these challenging times. And with that, John, I believe we are ready to open the call for questions.
Operator: [Operator Instructions] We will move on to our first question from Amar Sheth of Bellwood Partners. Please go ahead. Your line is now open.
Amar Sheth: I appreciate you guys are coming into this with such a good balance sheet. I guess my question really relates to that. Given your experience in prior down cycles, can you give us a little color on how you’ve been able to navigate it in the past? And what aspects of your business could help you navigate this down cycle?
Steve Jumper: Appreciate the question. I have personally been in this business, with this company for 35 years. And the company has been around as an entity since 1952, having gone public in 1981 and so I have personal experience with the company through several of these cycles that we go through. And we have always known as a company, that the oil and gas industry is cyclical and we’ve always understood that we’re in a line of service within the oil and gas industry that is - can be even cyclical within a cyclical, the overall macro cyclicality of the oil and gas industry. And so I was early in my career in the early ‘80s, when the big crash hit in ‘85. And then we navigated through the 1998, ‘99 issues and then the 2008 issue, and then, again, in 2015 when these things occurred. To be honest, this is something that is different than anything I believe any of us have ever seen. If you look back at historical - from my perspective, if you look at historical cycles within the overall oil and gas industry in particular, our business, we have dealt with either an oversupply issue that occurred in the early ‘80s and again in 2014 when OPEC decided to not abide by their production quotas on that Thanksgiving - I believe it was Thanksgiving in ‘14. And then, we’ve had demand issues that were kind of related to - same thing happened in ‘98 on the supply side, when we hit the demand issues somewhat around 2001 and again in 2008 relating to banking crisis. So this has really been the first time I believe as an industry we have been hit with a double whammy on supply right in front of COVID-19. So it is a little bit different to navigate through this. There’s certainly a little bit more uncertainty around this cycle. I think the other thing that’s important about this cycle is this is around unconventional development and production, which is - certainly has been tricky to begin with and it is a little more expensive to operate. You’re dealing with wells that come on with very high initial production rates and then taper off. So just by virtue of lack of drilling completion, there will be some reduction in overall supply. From our company perspective we have managed this thing as we’ve said in the press release that we’ve done historically. One is a commitment to balance sheet and making sure that we do everything possible to ensure that we have the working capital to operate through both up and down cycles. And so our company as well as our company titled Geophysical that we merged within ‘15 had that same historical history - or background of conservative fiscal management and commitment to balance sheet stream. And we do have the ability and have always had the ability to scale up or down in very short order. And so we have historically managed this company, we’ll continue to manage this company hoping for the best and preparing for the worst, and always understanding that things can change fairly rapidly either direction. What we believe our role will be in the future and I don’t know what the future is, I don’t know if it’s over the next three months, six months or 12 months or whatever the case may be is there’s still not a better tool out there to help E&P companies. Signed and develop their oil and gas assets. And I have said this in the past, I continue to believe that our science and our imagery that we’re creating and preparing for the industry is improving. It’s helping our E&P companies not only decide potentially where not to drill, what to avoid but help them understand best place to put optimum well locations. And so theoretically, both in the decision to reduce drilling locations and where to continue to drill, I think whether you’re in a downturn or you’re in an upturn, whatever drilling decisions will need to be made will certainly have to be made with optimum decision making and everything that’s available to those individuals make the decisions. So we continue to believe and are hopeful that our technology will continue to improve and continue to add value to the chain. Having said that this is a tough go. And this is a tough situation for everybody, but I think we’re well positioned to manage and anticipate things that may be coming in the near future.
Amar Sheth: Yes, thank you so much that culture [ph] [indiscernible]. I guess my other question there was, if there is another major up cycle or at least price improvement in oil in the future and post these stay at home orders say whether it’s a year or two years or six months from now. How do you foresee I guess Dawson being able to participate in matter? Or do you imagine there would be more of a delayed thing in terms of how Dawson would participate? Or when do you think clients might start reengaging?
Steve Jumper: Well, that’s a very good question. It’s a very difficult question to answer. And the honest answer is, I’m not totally sure at this point where in the cycle we would come into play. I can give you some historical information and I believe I understand the question correctly. But early on in my career, when 3D seismic data first came to the market back in the late ‘80s, we were early in the cycle. In other words, early on we were first in to identify prospects. And historically, if the seismic crew count increased, it was a good indication that there would be some increase in rig count to follow. Through the movement to the unconventional plays, you can call them shale plays or unconventionals or whatever might be the case. We became more of a late cycle entry. In other words, early on in the conventional mode, it was seismic data, leasing - seismic data, prospect evaluation, leasing and drilling. During the unconventionals, it became more of a leasing drill seismic to finish out and develop the drilling program. During that cycle, our technology was basically used as a where not to drill tool. In other words, it was used to identify geohazards, such as parsing or faulting or those types of things to make sure the well did not come upside zone of interest. Over the last few years, our technology has improved with the higher channel count and the venture spacing and the better imaging and the better attribute to where we’re beginning to aid in looking at what some of the rock properties and rock fabric and makeup may be. And so we’re kind of in a little bit of a shift through the - back into the where to drill as opposed to just where not to drill. And so that would lead you to believe that we would be in an early cycle phase. What I believe will happen is I still think it will be on the unconventional side, later in the cycle, but not as late as we have been in the past. I think the rig count will increase and then we’ll follow when it does, hopefully that it does. But I think there could be some additional work maybe from some smaller companies as well that will go back to more of a conventional operation, conventional prospecting. If there’s an uptick in conventional prospecting, then I think that we would be early cycle on the conventional side. It’s going to be interesting to watch in my opinion what happens in natural gas. If you go back to 2003 time frame to about 2009, we were predominantly operating in natural gas stations. There’s been an overabundance of gas, primarily related to differential gas out of some of the oil basins. As that begins to contract, natural gas prices could improve. We hope they improve. And if that happens, then theoretically we could be early cycle in some of the natural gas basins if we see some improvement there. But a very good question. It’s a very difficult question to answer and I don’t really have enough information to give you a clear cut answer other than just to speak to you from the historical and a hypothetical basis.
Amar Sheth: And that’s very helpful, particularly the comments on that. That’s one of the things everyone’s wondering, natural gas prices going to increase here. I guess my last question’s more of just a housekeeping question on - I noticed that the accounts receivable balance. And this is in this quarter necessarily that make over the last year or so has increased a little bit. And just wondering in terms of that if this is just typical clients looking for a little bit better terms? Or if there’s anything that you’re worried about there?
Steve Jumper: No. We’re not worried about at this point our accounts receivable. These are always snapshots in time, right? And so that’s a March 31 snapshot compared to 12/31 snapshot compared to a 9/30 snapshot. And so they’re snapshots in time. And those numbers over the course of a few days or week can change dramatically. And so I think our days outstanding are staying fairly consistent over the last couple of years. There can be some things that can show up in receivables, particularly related to some third-party pass through charges, that we have. If we’re on a project, for example, that we’re actually funding the land access permit directly, those can spike a little bit and then get paid very quickly. And so I think we’re in a good shape with our receivables, and I’ve not seen anything today. But pattern wise, that is alarming or anything out of the usual.
Amar Sheth: Okay, great. Thank you so much for taking my question.
Operator: We will take our next question from Bruce Berger of Turnaround Capital.
Bruce Berger: I was wondering if given all the large amount of shutdowns we’re seeing shutting wells if that ironically could spur more demand for your multi-client customers’ data? And great to speaking of the resumed drilling and there could be water flowing into wells and a lot of problems. What are your thoughts about that? Could ironically more demand for seismic come through because of what’s happened with the shut-ins?
Steve Jumper: Bruce, I kind of lost you there for a second, I’m sorry. Can you repeat the question? It didn’t - something kind of hit there and maybe it’s on our side. Can you repeat the question, please?
Bruce Berger: Okay. Yes, sure. I was just wondering, given all the shut-ins that are occurring, if when wells are started up again or reopen, whether there would be demand for data from your multi-clients or customers like spurring more demand for seismic shooting.
Steve Jumper: Okay. So let me kind of break that question apart just a little bit. We acquire the data on behalf of our multi-client data library companies who then license that data to other folks E&P companies as needed. And so I don’t know that shut-in and restarting would directly impact us directly. I think it could theoretically impact some of the multi-client data companies that have shelf data in an area. I think we’re more likely to be involved in a start-up of new drill and new complete projects rather than restart of existing wells. And I’m sure you’ve been reading that the concept of shutting in horizontal wells and bringing them back on is certainly a risky business. And so I don’t know if shut-in and restart directly impact us, but certainly new drill and potentially new complete could definitely impact either us directly or us indirectly through the multi-client companies.
Bruce Berger: Well I guess anything that puts more money into the hands of the multi-client is good for you. So they’re willing to shoot.
Steve Jumper: That is correct.
Bruce Berger: Just one more question. Are you comfortable that if crew utilization continues to go lower, you can take out more costs if necessary, to get to cash breakeven in any circumstance?
Steve Jumper: Yes. We continue to monitor that. We certainly have, as we said in this press release visibility to the early part of the third quarter. There’s always some things that are in discussion and communication that hopefully can extend that. But there’s nothing firm that would indicate so. But we do believe that there are some slightly positive things for later in the year that may happen, certainly not on a great scale. Certainly, it’s going to be at or below current levels is what we anticipate now. And so our cost structure is a very large percentage of it is, and then we’re probably got variable costs in there. So as crews shut down or as fuel prices reduce, those kind of things, those variable costs could certainly move lower. But we always continue to take a look at the scale and where we are and things that need to be looked at and addressed. And I think we’ll continue to do so. And we’ve never been one to overreact too quickly one way or the other. And so we’ll continue to evaluate like we’ve done in the past and make those decisions accordingly.
Bruce Berger: Thanks Steve. Great job in the first quarter.
Operator: [Operator Instructions] We will now move on to our next question from John Potratz of Research Investments.
John Potratz: It’s John Potratz. First of all, I want to complement you that the Board of Directors approved maintenance capital budget of $10 million in 2019 [ph], but you only spent $3.6 million. I think it’s important to recognize some great work on your part to be able to do that and keep that capital for the company for a longer term. But I think it’s just fantastic. Thank you very much for a good job there. Number two.
Steve Jumper: Thank you.
John Potratz: I notice that in. Sorry?
Steve Jumper: I said, thank you.
John Potratz: And obviously, I think I was asking [indiscernible] recognize that quality. You mentioned on the experience in reduction in pricing proposals and several large projects have been postponed. So you do have some potential projects have come to agreement with the multi-client people. Maybe you have some projects that might be able to move ahead if prices move up so that when you come into the third quarter, we might have a nice recovery. But I assume there’s something there first is having nothing in your hand to move ahead. Is that sort of a sense of future working here?
Steve Jumper: Yes. As we have said, there’s been a great reduction in the CapEx programs on behalf of the E&P company and those numbers continue to move and are updated sometimes weekly by E&P companies. So it’s still a moving target on what CapEx levels on behalf of the underlying client, which is the E&P companies, are going to be. And so we did have a couple of projects that were slated for sometime this summer that were - have subsequently been postponed. They have not been technically canceled. They have been postponed to a later date. We don’t know what that later date will be. We have several other projects that we believe are postponed later in the year pending what happens between now and third quarter. And so there’s still a lot of uncertainty, and there’s certainly a lot of headwinds against capital spending. And then we had a series of requests for proposals that were active prior to the OPEC decision and the COVID-19 that those projects while still in some level of conversation. Certainly feel like they’re going to be postponed and will be brought back at a later date potentially here again, pending what happens over the next few quarters. We don’t know what that timing is. We don’t know if that’s three months, six months, a year. And there’s always a chance that those projects could move ahead in a timely manner. But it’s most likely that they’ll be pushed back until economic conditions are better. There’s always the possibility that they’ll be canceled entirely. But so far, we’ve not had “a complete cancellation”. And then like I said, the visibility is very limited, but there are some glimmers of possibilities out there, that we continue to work closely with and have close conversations with our clients about their possibility. And so J [ph] that’s about as much as I can really speak to it, honestly.
John Potratz: So at least you have the prospects of something happen versus having nothing in your platter to move ahead. So that’s a positive thing for a future business. But again totally uncertain because you don’t know if they’re going to move ahead or not?
Steve Jumper: Yes, sir.
John Potratz: Very good. Question, is there any problem in confidence in collecting receivables? Is there any problems in there with the quality of getting paid for all the hard work that you do?
Steve Jumper: As of today, we have not had any significant issues nor do we have any great concern where we sit today, but that’s as of today. But so far, we feel like at this point, we feel like our receivables are in good shape.
John Potratz: Very good. Nice to work hard, but you need to get paid for just the second time. And the other thing is COVID-19. How has that affected - has that affected your crew costs and ability to get crews down a lot? And with the reductions that we’re seeing at a lot of the state levels, is that going to be able to reduce part of your costs in here? Or have you been able to sort of navigate to that COVID process without having to stop the crews from working or something that makes or has that been a major financial impact on you?
Steve Jumper: It has not. We’ve had as we mentioned in the press release some minor adjustments. We’ve had a few additional vehicles in the field and had some improved flexibility. Early on, these great folks that work for us out in the field typically work out of a fairly small rural towns. And so early on there were some access issues that they related to water supply, but we were able to secure other sources of water supply and get to them. And then, we had to adjust some flexible work schedules for people to get in and out back into town to get supplies that they would need from a personal standpoint. And those folks have just responded tremendously. We’ve had no issues with COVID-19 at the crew level. I think our people and our health safety department, our operations people and our HR folks have done a fantastic job of working with our employees at all levels and particularly at the field level. To give them proper procedures, protocols, the resources they need to continue to operate. And whether that’s having safety meetings by radio as opposed to large group gathering, whatever the case may be, but I don’t think there’s been a significant financial impact directly related to COVID-19 as with regards to crew costs. But I would just again reiterate at all levels within our company, given this situation that all of us have been through and continue to live with, that’s unprecedented that I think, as I would expect, with the group that I work with. They have responded extremely well and have done the right things have done them professionally. They’ve done them according to guidelines and have continued to work on behalf of our clients and our shareholders. So I’m extremely pleased with how all this went through just given all the uncertainty and given all the difficulties around the current situation is rolling.
John Potratz: Congratulations. I don’t know it sounds like you’ve thought an awful lot about worked hard on it and have motivated the Dawson enterprise. You move ahead and deal with all those issues, but that takes a lot of work and time. Thank you very much.
Steve Jumper: Thank you.
John Potratz: You also mentioned here that you’re looking at - when you merged you had like looking at cost reduction keeping costs within line so it can be possible. I noticed that when you merged kind of total employees, you’re now down to about 450 in the first quarter. I assume you’re focusing intensely on having the ability to respond to the client needs but at the same time keep the costs as low as possible through this process.
Steve Jumper: Yes. And one of the things that’s built into that is the crew makeup over the last five years has changed dramatically. I mean, you go from 10 crews with smaller channel count to a few crew with much higher channel count. And so the economic, the utilization, the efficiency, all those kind of things, the underlying cost structure, all those kind of things have changed. And so I think our operations group and our - well, just everybody involved have done a great job making sure that we are in a position to respond to our clients and their needs quickly and efficiently. And at the same time making sure that we’re looking at everywhere we can to reduce costs and operating expenses. So far, I think we’ve been successful in doing that and I hope we continue to do so in the future.
John Potratz: Sounds exciting. Thank you very much for accomplishing that. One other thing I mentioned is thinking back or talking about this sector about 20 years ago, about how the technology has changed dramatically. And you mentioned that you’re reshooting some areas that you had done 20 years ago because the technology has improved so much. You have so much more data to determine [indiscernible] phones and things of that nature. Is that motivating some of the additional business at this point? Vehicles investments.
Steve Jumper: It has been. Yes, it has, for sure. Certainly not now and certainly this is a totally different situation that we’re in today. Certainly over the last couple of years, the increased number of channels that we’re using the density, the size of the survey, all those types of things have certainly changed and has continued to provide improved imaging capabilities for our technology. So yes it has created opportunities for us to go back in and reshoot certain areas that have had seismic data over in the past. If you think about the Permian Basin area and the Delaware Basin, there was a lot of activity in those areas back in the early to mid-90s. And certainly, we’ve gone back and done some of those areas. And so there was a gap in - of about 15 years or so between high activity in the Permian to where we are now. So yes, we continue to believe that there will continue to be areas that we need to and that we will be asked to have additional shooting over. But that’s been what’s driving our demand levels in recent years. Of course now we’re in a fully different situation.
John Potratz: Okay. I guess maybe the more key aspect in here is where the price of oil, not to demotivate your customers, Stephen. Again, thank you very much for the great job. Stephen, continue a great job, right? I’ve put a lot of my personal fortune into your stock and I believe you can do something well. Thank you very much. You have a great day.
Steve Jumper: Thank you, sir.
Operator: It appears we have no further questions at this time. I’d like to turn the conference back for any additional remarks.
Steve Jumper: Okay. Thank you, John. I want to thank everybody for taking the time to listen in. As we have said we’re very pleased with our first quarter results. We are facing, not just our company, but our industry and the overall oil and gas industry is certainly facing some unprecedented headwinds here over the next whatever period of time, we want to consider that. And I do believe that we have the technology and equipment base to compete and provide our clients with quality service. I think we’re well positioned. We will continue to monitor things and communicate with our employees as to where we are. We are beginning to open up a little bit, but we will continue to monitor and make sure we’re following CDC guidelines. And I just want to thank again, thank everybody for listening in. I really want to thank our employees for a great job and a great effort and for continuing to follow the procedure and protocols in place. And we want to thank our valued clients for their continued commitment and I want to thank our shareholders for continued support. And we look forward to speaking with you again in 90 days. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.